Operator: Greetings, and welcome to the Endeavour Mining’s Third Quarter 2014 Results Webcast. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation (Operator Instructions). As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Mr. Neil Woodyer, CEO of Endeavour Mining Corporation. Thank you, Mr. Woodyer, you may begin.
Neil Woodyer: Thank you, operator, and welcome everybody to our call, thank you for attending. With me I have Attie Roux, our Chief Operating Officer and also Christian Milau our Chief Financial Officer. So if I can begin by taking your attention to page four, which is the Q3 2014 highlights. We had another good quarter in terms of production. We produced 117,000 ounces in the quarter bring our nine months year-to-date figure to 346,000. We are very pleased that we are able to achieve our stated goal of all-in sustaining cost per ounce of below one thousand in the third quarter, that has been our target for well over a year now and we have spend a lot of time, effort bringing our cost structure down into that order of magnitude. The adjusted EBITDA for the quarter was 37.6 million and our actual all-in-sustaining cost was 991 per ounce which only ounce is generate to all-in-sustaining margin of 32 million. Agbaou continues to be our strongest performer, it’s nine months production has actually already exceeded the original guidance for the year and Attie will go into the performance of Agbaou a little bit later so that we can see how well it has been performing. The investments in Tabakoto optimization are getting very near the end and we are set see to some marginal improvements in the fourth quarter of this year and much lower in the first quarter of next year. In the quarter, very importantly, Segala ramped up to 1,500 tonnes a day and we are showing very good process on the construction of the road up to Kofi C and we are planning to do pre-stripping in December and start actual production in January of next year which will mean our production next year will become in front, the underground mine of Tabakoto, Segala and Kofi that we should see a higher overall grade coming from those three sources and better control costs. So, importantly from the corporation’s point of view, we are transitioning after a period of very happy, heavy capital expenditure. Last year we built Agbaou and this year we are spending a lot of money on Tabakoto, so we are coming to the end of that program which will mean start us generating free cash flow and positive cash in the first quarter of next year. If we turn to the next slide which is slide five this shows the breakdown of the four mine production for the quarter brining us to the 117,000. It also shows the cash cost per announce all-in sustaining cost for the quarter per mine. And actually we will speak to each of those as we go through the rest of the presentation. Below chart of the bottom shows the most importantly how we brought the all-in sustaining cost down over the last year, if you look at the full year 2013, we had 1137, first quarter this year we have 1059, second quarter we were down to 1021 and in this quarter just below the 1,000 market 991, so we have been brining that down on the steady rate showing a decrease of about 12% to 13% over the last nine months. So of course that’s one of the key metrics for us in terms of addressing balance sheet and cash and just the general profitability of the company. So I would like to handover now to Attie to take us through on a mine by mine basis for the quarter’s results.
Attie Roux: Okay, thanks Neil. And if we turn to slide six, on slide six we have got a graphical analysis of the recent developments at Tabakoto. If we look at the various graphs, the tonnes of ore mine, you can see the upward trend in the underground tonnes and that's may be the uplift of the tonnage from the Segala mine. The second graph is the tonne moved and as we optimize the processing plant and also now recently the installation of a pebbled crusher the tonnes moved has steadily progressed upwards. The third graph is the cash cost and sustaining capital and you can see the effort that we are putting to the cash cost, the actual dollars have come down and it’s now matter of us getting the answers up and that will reflecting the total cost obviously. If you look at the bottom left graph that tells the story of converting from contract mining to undermining. You can see the drop in the cost per ton and that's really reflected and its looks like it sustaining as well at about $50 odd per ton. The middle graph shows the grade and as we alluded the guide for the quarter has been marginally down, that's mainly due to initially getting into the first low-grade stope at Segala. We currently have two stopes operating with the third stope coming on line very shortly and also in Tabakoto mine recently we have got four stopes running with the first stope coming on very shortly. That will give us the flexibility to mine closer to the average grade coming into the last quarter. And if you look at the last graph all of the previous culminates into the cost graph and you can see that all in sustaining cost per ounce. And really it will start coming down as the sustaining capital for the undermining and the mining in Segala is coming at the end of this year. If we turn the page seven, the actual statistics for the quarter for Tabakoto mine. The moved tonnes has improved with the higher tonnes from Segala and as I mentioned where installation of the pebble crusher, the grade being lower and we knew that the grade was going to be lower with the first stopes in Segala, we anticipate that the grade will improve towards the last portion of the year and get into a more towards the average grade for the mine. And if you look at the cost, as I mentioned on the previous slide, the cash cost and all-in sustaining being reflected higher as a result of the lower ounces produced and we anticipate that the ounces for the last quarter will be better as the grade improves. We turn to slide eight, Agbaou mine. Agbaou continues to outperform the budget and the guidance and that's mainly due to the friendly nature of the (inaudible) lateritic orders that we have been processing from start up to now. As Neil alluded to the fact that Agbaou has already exceeded the original guidance for the whole year up to the end of the third quarter producing just over 99,000 ounces. We have done a recent exploration program at Agbaou, mainly to replace depletion and to potentially extend mine life and the highlights of those results were in the news release earlier in October and it will be a completed towards the end of the year. That targets continuity of grade and with very close to the current mineralized zones, Birimian (inaudible) deeps as well. So overall Agbaou produced another excellent quarter for the company. Turn to page nine, Nzema Gold Mine. If you look at the tonnes milled it increased marginally from the previous two quarters and that's mainly due to a better blend and also the installation of the pebble crusher that came into the operation towards the end of the quarter as well. The total tonnes have obviously been impacted due to the heavy range, we think during this quarter, as we could not mind to leave but which is a huge as a blend with the hard of blasted rock from the Adamus pit. The grade was significantly lower than the previous two quarters, mainly due to accessing a lower-grade area in the Adamus pit and also lower contribution from the purchased ore, these also forecasted to be back to normal in the quarter four. If we turn the page to page 10, Youga gold mine. Youga continue to perform a very steadily although gradually starting now more towards the longer life satellite pits that we will be accessing shortly, as we moved away from the higher grade 9 pits. So Youga continue to generate a nice, positive cash flow and continues to have life sustaining capital. At this point, can I hand over to Christian to do the financials?
Christian Milau: Thanks, Attie. If you turn to slide 11, I’ll just run through the Q3 all-in sustaining margin and cost and looking at the three months, we sold 114,000 ounces which is slightly less from the production of just over 117,000 and Agbaou had done a poor just at the quarter end and with the inventory so that will come out into the cash flows into quarter four. The actual revenues are 145 million which is about $1,272 per ounce of realized gold price which is slightly down on the full-nine months which was at 1,287 per ounce. Looking at the cash cost it was $814 per ounce which is obviously improved on the full nine months of 848 which is pleasant to see and that resulted in a cash margin of 45.5 million which is 31% margin which again is an improvement on the 29% margin for the full nine months, so it’s nice to see that improving trend as well. And the corporate G&A of 4.1 million is the low $36 per ounce which is again pleasing in this environment, we have been able to maintain a low corporate G&A cost profile which has trended slightly down from the full nine months $42 per ounce. And ultimately when you add-in the sustaining capital and exploration that’s 32.1 million of sustaining margin and that’s 22% which again is up slightly on the full nine months of 20.6%. And just looking at the full nine months, we produced 89.7 million of all-in sustaining margin which is pleasing verses the full year midpoint guidance of $95 million dollars so obviously looking to be in a good position to exceed that for the full year. And with the $991 per ounce all-in sustaining cost against very pleasing to see that below target so and I again we hope to see slight improvements again going into quarter four here. Turning over to slide 12, looking in the cash position at the end quarter, where we generated cash and where we spend cash. So we add in to the $57 million of opening cash we add to $32 million margin and where do we spend that? Well, on the non-sustaining investments that totaled $15million, majority of that was spent on Tabakoto being $8.5 million, mostly mining equipment and again we are coming towards the end of that and should only be couple of smaller pieces of equipment coming in a quarter four so most that should be spent already. We also mentioned in the MD&A we were doing some drilling as well at Houndé, so 3.5 million for exploration and permitting cost and then small expenditure in Nzema and Agbaou and Agbaou was that drilling program that Attie referred to. Looking at proceeds we have received, we have received 3.4 million from the promissory note that we had from the sale in Debra financials, a couple of years ago, so nice to see some cash flow coming in from that on a fairly regular basis. Proceeds from sale have totaled manganese property of 1 million so in total 4.4 from non-core asset disposals below that the financing cost, income and other taxes and gold hedge settlement as sort of usual as well the change in non-cash working capital and other items. Inventory as I mentioned earlier, we had one part of gold right on the quarter end, so the inventory for that probably 4 million to 5 million was up at the quarter end and will flow through in the cash during the quarter four. We have prepaid some insurance in quarter, that's the point in time when we do that that was slightly up and as well pleasingly in the quarter three we started to see some VAT offsetting in Mali which is a real positive sign as well and we are offsetting against the other taxes there. So in quarter four, we expect to see and now depending on the gold price, of course, moving towards the more cash flow positive towards the end of the year and obviously in the Q1 next year. I will turn it back to Attie on slide 13 for Houndé update.
Attie Roux: Okay, thanks Christian. So, just to update on Houndé and it’s more on exploration update, during the later part of this year, we embarked on exploration program and this is mainly focused on the extension of the strip of the current known zones which is Vindaloo and Madras but we also considered other targets which had the potential for the lineation of additional resources and this include Bouéré and Dohoun they both within the tracking distance from the proposed processing plant. This program began in June and is very nearly completed with the couple of hours to go and we are seeing some encouraging results. Currently we are compiling all the results as they come in and these are being tabulated and put into the models in the mineral resources and the results will be completed by year-end and this will be reported in the first quarter of next quarter so doing a bit of work of Houndé. If we turn to slide 14, just an update on two topical issues, I am sure everybody is waiting to hear about. Firstly, just on Ebola, since the outbreak of Ebola in the neighboring countries over the last few months, we have embarked on education programs for our mine sites and the surrounding host communities around us. We have set up an Ebola management Steering Group which is coordinated and managing all the efforts across sites to ensure that we have conformity and also the share information and make sure that we are doing the things correctly. We have fairly elaborate Ebola Preparedness Plans on the various mines and this include currently things like temperature screening for all employees on a daily basis, log-in deck, we screening visitors and we have embarked on liaising with local and regional and also the national authorities on the effort and we keep touch with the international information as far as world health organization and these people are concerned and we bought this into our daily updates as we go along with the Ebola’s practices. We have done external international audit as well on all the mines to judge our readiness and to identify potential gaps and these are both into our continuous improvement processes as we do on a daily basis. The Ebola Steering Group meet twice a week to continue update, any information that we get and to make sure that all the mines are ready. I think the second topic to talk about is the current unrest in Burkina Faso. I think we all know that the all of the protests against the President Compaore, extension of the election term proposals that’s resulted in the parliament being resolved and we all know that there is a program for a potential election within the next three months. Our operations at Youga which is located about 180 kilometers to the south-east of Ouagadougou and that's largely been unaffected up to this point in time. So at this point, Neil if you want to carry on with the conclusion?
Neil Woodyer: Okay, thanks Attie. We could also run down on why our production was strong in the third quarter and also why we are able to achieve our target of the $1,000 and sustaining cost, gold obviously just over a year ago. Tabakoto optimization plan on track with the increase in volumes mined & milled and the decrease in the operating costs as Attie went through, milled grade should improve with the things Segalau more mining flexibility there and also we access Kofi in January. So the company is going through the transitioning out of heavy capital investment programs we have been into, into the period of the free cash flow generation as Christian said hopefully towards the end of the fourth quarter, we have positive cash flow going forward to strongly cash flow in the beginning of next year. One of the things we have to do as management is to maintain the focus on containing and managing our costs, we also have to focus on minimizing any “optional” capital expenditure and very strongly controlling any capital because what we want to do without free cash flow as we are generating, we can use part of it to reduce our debt balances and therefore strength in our balance sheet. So we are moving now after that phase into a strong area, so even with the current gold price, we would be generating good cash, obviously such things have (inaudible) open to the political situation and whatever may come into the future but the company is in the strong position now and beginning to generate cash to take us forward. That ladies and gentlemen is the formal part of the presentation. So if I can ask the operator to come back and take us through Q&A session.
Operator: Thank you. At this time we’ll be conducting a question-and-answer session (Operator Instruction). Our first question comes from the line of Michael Stoner with Peel Hunt. Please go ahead with your question.
Michael Stoner - Peel Hunt: Thanks for the call. My first question was you have touched upon targeting the reduction of your debt levels using some of the pre-cash which is going to come pretty strongly as the grade improve in cash cost for particularly at Tabakoto, can you give any guidance around kind of that program of reducing the debt and how quickly you would to look to retire and how much you would like to retire?
Neil Woodyer: Okay the debt is revolver so we can perhaps any portion as we want and bring it back down again. So we would be looking at what is the optimum level to manage the business with, what cash balance is the optimum level and looking to reduce the revolver that way with any excess over that period. We are going through the budgeting process now, we are all travelling off to Mali next week to get through the budgeting process with the GAMs that will give us a much better idea because that gives us chance to have a second review of our only proposed capital whether it might be sustaining or whatever and also as to what cash we will be generating. So I think we are really in the process of working on the onset but I think the principal is that we will be looking to keep the revolver as low as practical as we go forward and reducing the balances that way.
Michael Stoner - Peel Hunt: Okay but you won’t look to reduce the capacity of the revolver, you will keep that headroom?
Neil Woodyer: We have that headroom until the—I think it’s another 18 months and it gradually reduces over the rest of the period.
Michael Stoner - Peel Hunt: Yes, sorry the question was looking to fast-track that...
Neil Woodyer: It will take few later as to whether as we are having a standby (inaudible) not.
Michael Stoner - Peel Hunt: Understood, okay and then with having kind of achieved the own sustaining cost target, do we have to wait till the kind of the year end numbers to get a new target or could you give us some detail on kind of what you are targeting now following this wind-down of kind of sustaining CapEx particularly.
Neil Woodyer: I think we are in much better position to do that. Once we done the budget process because that’s very much focused on that the dialogue between ourselves Attie and the GMs as to how the mines have been run in the price environment that we are in and the cash that we need to sustain the business. So yes I mean that's the best answer I can give you, in the process.
Michael Stoner - Peel Hunt: Okay sure and one more numbers-related and hopefully not budget dependent. Can you give us any idea as the kind of whether the targeted spend at Segala has moved around or so and what do you think that dollar per ounce impact on the all-in sustaining cost numbers we have seen of that spend and what is about essentially be backed out as that completed?
Neil Woodyer: I am going to (inaudible) Christian and Attie. Christian?
Christian Milau: Yes I think with Segala, we have been spending certainly a few million a month in a sense to develop that and that will start to move away during the fourth quarter and the ounce is start reaching sort of targeted levels, some point in the fourth quarter. Going into new year, I think you will be in a more steady state level at that point and certainly our goal is to brining all of our mines into that sort of $1,000 per ounce or less range, so that's the goal there.
Michael Stoner - Peel Hunt: Okay, perfect. Thank you very much.
Operator: Thank you. Our next question comes from the line of Alex (inaudible) Canaccord Genuity. Please go ahead with your question.
Unidentified Analyst: Good morning, everyone. Just a quick question here, the underground mining cost at Tabakoto have been decreasing nicely but that transition to the ore and mining so I am just wondering if it has been fully realized the transition to the owner mining or if not when do you expect that, more in Q4 or early 2015?
Attie Roux: I think if you look at Tabakoto itself the other mining has been (inaudible) with it, that's in steady state now. Obviously Segala, we have always targeted to do the mining ourselves and as Christian said and Neil as well, the most of the capital expenditure is coming to an end now and we will start seeing the real operating cost of Segala but as far as Tabakoto is concerned the undermining has been completed.
Unidentified Analyst: Okay that's all I had. Thanks a lot.
Operator: Thank you. Our next question comes from the line of Chris Thompson with Raymond James. Please proceed with your question.
Chris Thompson - Raymond James: Thanks guys, thanks for the call. I have got a number of questions here, we will start off with Tabakoto, obviously you spoke about the grade there but I mean on a forward-going basis, would it be correct to assume reserve grade for the Segala underground and Tabakoto underground?
Attie Roux: Yes, we knew that going into Segala now the top end, the first ups would be the lower grade and the average grade of the resource. So it is greater, we are targeting going into the next period now to get to the reserve grades on both mines.
Chris Thompson - Raymond James: And that would be probably starting early next year?
Attie Roux: Yes.
Chris Thompson - Raymond James: Or can we see a little earlier may be in the Q4?
Attie Roux: We are hoping that we will get towards that close to yearend now. As I mentioned, we have now got two stopes producing at Segala with the third one coming on line shortly in the next week and at Tabakoto, we manage now to get back to four stopes operating and the fifth one cycle stope coming on line also very shortly. So that improves our flexibility a lot, to be able to get back to the average mine grade.
Chris Thompson - Raymond James: Great. Thanks, Attie. Just moving on little bit, talking about Kofi now, what sort of ramp up should we be modeling I guess as far as production from Kofi next year?
Attie Roux: The Kofi is essentially replacing Djambaye, so we are targeting a bit of a transition between the two over the December/January period but just remember that the two underground mines are targeting between 1500 and 1800 tons per day each which leaves Kofi only about 1000 tons per day. So it's not the lot to their mine and we will do lot of the pre-strip upfront now as we get access to the site, so that we are ready to start basically full scale mining when we access it in late December.
Chris Thompson - Raymond James: Okay. Thank you. Just moving quickly on to Nzema, obviously you still purchasing ore, again on a forward-going basis, should we be modeling I guess so using the Q3 as an indicator as to the quantity in the grade of ore you are purchasing?
Attie Roux: Yes, I think quarter three was a bit lower than what we were planning, as far as tons and grade were concerned. But we are seeing that quarter four is more closer to the nominal. It difficult to give you number to model but I think if we use – maybe the last two quarters sort of average would not be a bad number.
Chris Thompson - Raymond James: Right. Thanks Attie and just quickly on to Agbaou, congratulations it's been absolute stellar performer. I guess the big question is, I mean obviously you guys are still budgeting, I can understand that but I mean is this sort of 6500 ton a day sort of sustainable next year? Or do you see that being dialed back?
Attie Roux: I think we are targeting to have fair run for the next year as well. We obviously consuming the material faster than the original schedule but that's one of the reasons why we did this drilling exercise to generate more (inaudible) ore to make sure that we see through the next period and I think we can see the next year being similar volume to what we are currently doing.
Chris Thompson - Raymond James: Right. I guess that’s the focus is that the drilling I guess is the supplement what you mining faster than anticipated with new resources or reserve, right?
Attie Roux: Correct.
Chris Thompson - Raymond James: I guess this is a question for you Christian, looking at working capital balances at the moment. So if have you got any comments on how you plan to manage these on a forward going basis particularly reduction of the receivables?
Christian Milau: Yes. I mean the receivable the vast majority of that obviously is the Mali VAT, that’s something that as I said in the quarter we did actually start to offset and I don't know exact percentage for you but the vast majority of its being offset now against all the taxes, so expect a little built up if any on sort of an ongoing basis. We had indications as well from the government of some cash repayment of that historical amounts. So I guess, knock on wood, we are hoping that in the next period of time there will be actual full cash reimbursement of that, I can't give you an exact date and a bit hesitate to give that to you but there is encouraging signs coming on that. So that is key I agree with you and also we have been talking to local banks et cetera about – there is ways to monetize that as well obviously we preferred to just have the cash reimbursement from the government. So that will be our primary focus but secondarily we can talk to banks as well.
Chris Thompson - Raymond James: Okay and then very-very finally the situation (inaudible) any comments relating to supplies of consumables into the country, is there a problem, do you see a problem in the near term (inaudible) but the borders, are they working okay?
Attie Roux: Yes, the borders were closed initially, I had confirmation this morning that the borders had been reopened and also the international airport has been reopened. At this point in time, we do not foresee any issue with deliveries things can change obviously but as we stand now, we don't foresee any problems.
Chris Thompson - Raymond James: Great guys. Thank you very much.
Attie Roux: Thanks Chris.
Neil Woodyer: Thanks Chris.
Operator: Our next question comes from the line of Tara Hassan with Haywood Securities. Please proceed with your question.
Tara Hassan - Haywood Securities: Good morning gentlemen. Just a touch on Tabakoto, it looks you had the bulk of your capital spend guidance for the year and then I meant to be, so could you touch on sort of what last expend in Q4 between the Tabakoto and Kofi and is that going to be above that $63 million guidance from here?
Christian Milau: No, I think for the full year we expect to be below our original guidance, for spend as we diluted to, and I think MD&A certainly some of the Segala ore came out maybe a bit earlier and it was actually putting to operating cost obviously to match the revenues for accounting purposes. So that will bring down the actual total non-sustaining we would spend on Segala. With most of the equipment arriving, I think as well we are pretty much there. So we expect it will be -- under spending what was the expectation at the beginning of the year which you are right I think alluded to the number give or take 65 million.
Tara Hassan - Haywood Securities: Okay. And then on the sort of the great challenges, I know Attie sort of suggested that you expected dollar to be lower grade at the start. I mean is this how was it that still reconciling to the expectations, is it more of a dilution issue than grade issue itself?
Attie Roux: No, we don't believe it's an issue. I talk to across the GOs to do a quick reconciling on the actual or the grade control versus mine versus resources and the number gel up fairly well. So we always knew that the top boss is going to be a bit lower and the entry on the (inaudible) site is going to be lower grade so we are confident that the grade will come out.
Tara Hassan - Haywood Securities: Okay and once the goal sort of -- getting into the second half of 2015 in terms of numbers of stopes available at Segala?
Attie Roux: Sorry just repeat that Tara?
Tara Hassan - Haywood Securities: What's your goal internally in terms of number of stopes that will sort of in cycle by sort of the second half of next year, (inaudible) second half of 2015?
Attie Roux: Look I think what we targeting is to have two levels operating and at least two to three stopes per level to producing one filling, one cycle. So that you have a full cycle of operation toward the (inaudible)
Tara Hassan - Haywood Securities: Okay. That's great. Thanks guys.
Attie Roux: Okay.
Neil Woodyer: Thanks, Tara.
Operator: Thank you. Our next question comes from the line of Andrew Breichmanas with BMO Capital Markets. Please go ahead with your question.
Andrew Breichmanas - BMO capital Markets: Thanks. Good morning everybody. So and if I could just go back to a previous question on underground mining cost at Tabakoto, obviously the transition that owner mining has been very successful so congratulations on that. But I was just trying to separate out the impact of that from the impact of ramping up Segala, do you have sort of the comparison of the mining cost at each ore alternatively is longer term goal of I believe around $35 a ton on a blended basis still achievable?
Attie Roux: Yes I think at this point, Christian you want to tackle the first portion?
Neil Woodyer: Sorry. I don't have the cost to hand to give you that but maybe Attie you want to comment on it?
Attie Roux: I was going to say exactly the same thing just differently. We have just got to a point now where we start to see some genuine operating cost. We haven’t got the Segala fully functional yet. It's on an absolute basis, so very difficult to be judge what the operating cost will be. I think by the end of the year, earlier next year, we’ll be in a much better position to actually get that but I don't see that the cost will be much different to what we are on the Tabakoto side.
Andrew Breichmanas - BMO capital Markets: Okay. Thank you very much.
Attie Roux: Okay.
Operator: Thank you. Our next question comes from the line of Mark Bentley with MAB Trading. Please go ahead with your question.
Mark Bentley - MAB Trading: Good afternoon gentlemen. I have just a couple of questions about your situation regarding the permitting of Hyundai. First of all, how do you see that being impacted by the current issues in Burkina and secondly have any questions been raised by the Burkina government about endeavors that they are looking to finance the development of that mine initially the permit?
Neil Woodyer: I’ll that one, the discussions with the government were very positive and we were until last week expecting the permit within this quarter. We are not quite sure whose taking over the ministry now. But whilst talk yesterday the old minister mine is going back in the game, we just have to wait and see if that happens because we had good relationships there as we do with the rest of the ministry. So there will be some hiccup we are not sure how long but that will be too long in terms of the government talking about our financial capability we discussed that with them over a long period of time historically and they are satisfied with our ability to do it.
Mark Bentley - MAB Trading: Thank you.
Operator: Thank you. Ladies and gentlemen at this time there are no further questions. I would like to turn the conference back over to management for closing remarks.
Neil Woodyer: Thank you operator. First of all, thank you everybody for attending. We thank you for your questions and as usual we are available to answer any more detailed questions by either phone or by email or how you like to do that and we appreciate that. It has been a great quarter I think the operation side has actually done an extremely good job of bringing these costs down and it’s the kind of structure that we need. And I think it's now up to us to address some of the working capital and balance sheet issues to bring down and make sure we are achieving a good cash generation and bringing down the increase in the strength on our balance sheet and that is our objective over the next six months or so to start doing that to really do it effectively. So with that ladies and gentlemen, please where we stand and we look forward to our fourth quarter and we will go to everything about power to achieve the objectives for the fourth quarter we have so far. Thank you very much for attending.
Operator: Ladies and gentlemen, this concludes our teleconference. You may now disconnect your lines at this time. Thank you and have a wonderful day.